Operator: Good morning, ladies and gentlemen and welcome to the Omnicom third quarter 2009 earnings release conference call. (Operator instructions) At this time, I would now like to introduce you to today's conference call host, Executive Vice-President, Chief Financial Officer of Omnicom Group, Mr. Randall Weisenburger. Please go ahead, sir.
Randall J. Weisenburger: Thank you, and thank you all for taking the time to listen to our third quarter 2009 earnings call. We hope everyone's had a chance to review our earnings release. We have posted to our Web site both the press release and the presentation covering the information that we are going to present this morning. This call is also being simulcast and will be archived on our website. Before we start, I have been asked to remind everyone to read the forward-looking statements and other information that's included on Page 1 of our investor presentation, and to point out the certain of the statements made today may constitute forward-looking statements and that these statements are present expectations and that actual events or results may differ materially. We are going to begin the call with some brief remarks from John Wren. Following John's remarks, we will review our financial statements for the quarter and then both John and I will be happy to take questions.
John D. Wren: Good morning and thanks for joining our call this morning. Third quarter results were in line with our expectations. While the recession has resulted in a significant reduction in advertising and marketing expenditures, our agencies have done a very good job adjusting costs and our service capabilities to this new environment. Before we get into an explanation of the quarter, I would like to discuss just a few areas and what we see at the moment. On an overall basis, client spending while significantly down from 2008, is showing signs of stability. Additionally, net new business activity is robust. It’s improving and we continue to perform very well across all of our businesses. As Randy will discuss, FX, which has been negative for this quarter and for the past 12 months, is improving as we go forward as the dollar continues to weaken. And finally, before I get into revenue, changes in our capital and debt structure have significantly strengthened our balance sheet. Now I’d like to turn to revenue -- as I mentioned, our third quarter performance came in as we expected. Despite continued weakness in global economic growth, our performance reflects different signs of recovery by region. In Europe, both Euro and non-Euro countries remain weak, and as we go into 2010 we expect any recovery to be slow. BRIC and other developing countries are showing signs of recovery and we are hoping for faster growth in these markets as we move forward. Growth in developed markets such as Japan and Korea remain weak, especially when compared to the rest of Asia. And in the United States, with the exception of several sectors, client spending has stabilized and there are even a few signs of positive growth. The sectors which continue to under-perform are the same ones we discussed in the last quarter. The auto sector -- year over year, revenue in this sector has declined 30% for us, reflecting a reduction in the scope of work we perform and reduced client spending. Sports and event marketing were also down 30% as clients eliminated discretionary spending for these areas. We are hopeful that as we get into 2010, these areas will start to recover slowly. Recruitment advertising, which we have discussed for the last several quarters, was down 45%. And branding and design, again which are discretionary and projects can be delayed, was down 25% for the quarter. Client spending in other areas, as I said, have stabilized and should improve as the economy improves in 2010. That, coupled with net new business activities, hopefully will help us as we move forward. Finally, before turning the call back to Randy, given the strength of our balance sheet, I fully expect that the company will become more active and you can expect more acquisition activity from us as we move forward. Now I’ll turn it back to Randy.
Randall J. Weisenburger: Thanks, John. Well, we are clearly not happy with the state of the overall global consumer economy. We believe our agencies have done an excellent job of navigating the market challenges. On the cost side, our agencies have largely taken steps necessary to align their labor and service costs with their revenue and have done an exceptional job of managing their non-labor general operating expenses. The area that will continue to take some time to bring into alignment is occupancy costs. While we are making progress, given the long-term nature of leases and the embedded increases inherent in most leases, this area will continue to take some work. On the business front, new business activity is improving and our agencies are winning far more pitches than we are losing and at this point, spending levels from our existing clients is best described as generally stable with a few exceptions to the positive, which are mostly in the United States, and a few exceptions to the negative, which are mostly in Europe. Due to the combination of continuing overall weak economic environment and the relative year-over-year strength of the U.S. dollar versus other currencies, revenue in the quarter declined 14.4% to $2.84 billion. Operating income for the quarter decreased 21% to $294.8 million. As I mentioned, on the cost side our agencies have done a good job aligning their cost structures to revenue. As a result, our operating margin for the quarter was 10.4%, down just under 90 basis points from last year, and our EBITDA margin was 12.5%, down about 55 basis points, which translates to about $16.2 million. Adjusting for the cost of severance actions taken in the quarter, which totaled $33 million, our EBITDA margin ex severance was 13.7%, and that was down only about seven basis points from the comparable number last year. Year-to-date, severance has totaled about $102 million, and our EBITDA margin ex severance was 14.8%, which was flat with the comparable number last year. Net interest expense for the quarter was $28.9 million. That was up about $8.2 million from last year and up about $7 million from last quarter. The increase versus last quarter was primarily the result of our issuance of the $500 million 10-year senior notes, which closed on July 1st of this quarter, offset by lower revolver and commercial paper borrowings. Versus last year, the increased interest on the new $500 million senior note was offset by lower interest on our short-term borrowings due to both lower borrowings and lower interest rates. We also earned less interest income on our cash deposits due to significantly lower interest rates and FX exchange rates bringing that interest back to the U.S. On the tax front, our reported tax rate for the quarter was about 34%, bringing the year-to-date tax rate to 34.2%, up from 33.6 last year. The aggregate result was net income for the quarter declining 22.5% to $165.6 million, and diluted earnings per share in the quarter declining about 22% to $0.53 per share. That brings the year-to-date total EPS to $1.80. Analyzing our revenue performance a little further, while the U.S. dollar continued to weaken versus most other currencies in the quarter, on a relative year-over-year basis the dollar remained stronger. As a result, FX had a year-over-year effect of reducing our revenue for the quarter by $97.8 million, or 2.9%. Looking ahead, if rates stay where they are, we expect FX will be positive in the fourth quarter by about 3.5% to 4%. The change from acquisitions net of dispositions was negative $25.4 million, or about eight-tenths of 1%. That was driven primarily by the divestiture of our directory advertising business earlier in the year. And organic growth for the quarter declined $355 million, or about 10.7%, which was basically in line with our performance in the second quarter. While almost all of our businesses have been impacted by the recession, a few areas have been impacted much more severely than others that are worth noting. First, our recruitment marketing business, which we’ve mentioned on the last few earnings calls, was down almost 45% in the quarter and alone accounted for about 1% of our organic revenue decline. [The auto] sector as a whole was down 33% organically, or about $113 million. And our events and sports marketing businesses were down almost 30% organically, and our branding and design businesses were down about 25%. These areas together, while accounting for about 16% of our total revenue, contributed just over half of our organic revenue decline. As for our mix of business, brand advertising accounted for 43% of our revenue and marketing services, 57%. As for their respective growth rates, brand advertising declined 11.6% in the quarter, 8.4% of which was organic. And marketing services declined 16.5%, 12.4% organic. Breaking down our marketing services revenue further, CRM was down 16.2% in the quarter, with negative organic growth of 13.6. However, similar to the second quarter, our CRM performance was significantly impacted by our events in sports marketing and our branding and design businesses. Excluding their results, CRM was down only about 8%. Public relations was down 14.9%, 11.3% of that was organic. And specialty communications was down 19.3, with organic growth down 8.5. After the sale of KDA, this category now consists primarily of our recruitment advertising and healthcare businesses. Recruitment advertising, as I mentioned, was down about 45% and our healthcare businesses performed actually fairly well in the quarter with positive organic growth of about 1%. Our geographic mix of business in the quarter was 52.6% U.S. and 47.4% international. In the U.S., revenue declined $227 million, or 13.2%. Acquisitions net of dispositions reduced revenue by about $29 million and organic growth was negative 11.5%, or $198 million. As was the case in the first and second quarters, our organic revenue decline was somewhat skewed by a few isolated areas, specifically the declines in our auto business and our events, branding, and recruitment businesses accounted for about 60% of our U.S. organic revenue decline. International revenue decreased $252 million, or about 16%. FX reduced revenue by $98 million, or 6%. Acquisitions added $3.4 million, and organic growth was negative 9.8%, or $157 million. Internationally, we had relatively strong performances in India, China, Australia, the Middle East and Africa, and Latin America. The developed markets of Asia, specifically Japan and Korea, continue to be down and most markets across both eastern and western Europe, with the exception of France, performed below the average. Moving to cash flow, operating cash flow for the quarter and year-to-date was very strong and our overall working capital performance has been excellent. Our primary sources of cash -- net income adjusted for stock-based compensation and then depreciation and amortization -- totaled $794 million for the nine months. Our primary uses of cash for the nine months included dividends, which totaled $140 million; capital expenditures, which totaled $93 million versus $152 million last year; acquisitions, including earn-out payments, totaled $125 million versus $389 million last year; and share repurchases net of new issuances was only $3.2 million versus $768.2 million last year. As a result, from year-end we’ve reduced our leverage by about $432 million excluding the effects of working capital and as the next chart shows, versus September 2008 and including working capital, our gross debt was down about $820 million and our net debt was down almost $880 million. As a result of the reduction in our outstanding debt balances, our leverage ratio or total debt-to-EBITDA improved to 1.5 times as of September 30. However, with both higher gross interest expense and reduced EBITDA, our interest coverage ratio declined marginally to 13.7 times. As I think everyone knows, during the quarter we did complete the issuance of a $500 million 10-year 6.25% senior note and we repurchased $474 million of our 2032 convertible notes also in July. And finally from a liquidity perspective, we finished the quarter in a very strong position with cash and undrawn committed credit facilities totaling about $3 billion, and we had uncommitted facilities available totaling an additional $351 million. With that, I am going to open up the call for questions.
Operator: (Operator Instructions) Our first question comes from the line of John Janedis with Wells Fargo.
John Janedis - Wells Fargo: A couple of quick questions here -- first, it seems like a lot of agencies now are chasing a handful of the auto accounts out there. I think the category was somewhere in the low teens for you back in ’08 and I’m just wondering as we think about ‘010, realizing there were going to be some moving parts for you, when do we get through the drag on organic and do you view auto as maybe somewhere in the high-single-digit range of the total once it stabilizes?
John D. Wren: Well, there is a lot of activity going on in the auto sector at the moment. As has been well-reported, we have our challenges with Chrysler, which for 2009 will contribute about 1% of our revenue, so that I believe is at risk. Having said that, we are also engaged in a number of other pitches for other auto makers and we are fully expecting to win our fair share of those pitches. So is it possible that the auto sector will continue to have a drag as we go into the next quarters? I expect so but probably to a decreasing amount as you go into 2010.
John Janedis - Wells Fargo: Okay, and maybe one follow-up -- I think earlier in the year, John, you mentioned that you normally get around $200 million in project revenues in the fourth quarter. Obviously a lot of that didn’t come through last year but going forward, do you think project revenues outperform the overall portfolio and should we be thinking about the exposure this year as less than $100 million for this fourth quarter?
John D. Wren: We are still actually taking a very hard look, and have said this in the past too and -- a lot of the projects that we have, we really won't be able to determine the scope and the scale of them until we get into about the 10th to the 15th of November, because a lot of them are very short-cycled. And there’s a lot of discretion on the part of our client companies as to whether to go forward or to pull back, depending on what they are doing in managing their own companies for the end of the year. So at this point, there is at least that much money in projects which we have clearly identified but it’s fairly normal.
Randall J. Weisenburger: Yeah, the number that you are talking about are an isolated piece of our project revenue. Those are short-term projects that generally come up in the fourth quarter, basically at the end of people’s -- I’ll say budget years. Obviously about 40% of our total revenue is project revenue in the aggregate over the course of the year.
John Janedis - Wells Fargo: Okay. Quickly, Randy, just on the buy-back, any consideration of starting that up again?
Randall J. Weisenburger: That’s really a board decision. It is something that the board has been talking about but what and when their final decision is, I don’t know yet.
John D. Wren: The only thing I’d add to that is as Randy mentioned, we deleveraged quite a bit year over year and looking forward, the free cash flow that the business generates will increasingly be used first for acquisitions, as it has in the past, and then to the extent that we don’t find sensible things to purchase, we will be buying back shares.
John Janedis - Wells Fargo: Thank you very much.
Operator: Your next question comes from the line of Alexia Quadrani with JPMorgan.
Alexia Quadrani - JPMorgan: Thank you. Just first if I can follow-up on your comments on the auto category, is the weakness in auto that you saw in the quarter still really across the board or was it more pronounced in domestic? And with your relationship with Chrysler right now, are you free to participate in the pitches for the domestic auto business that is currently in review?
John D. Wren: The Detroit office of BBDO is still under contract with Chrysler and therefore it’s not available to be pitching other business at the moment. Having said that, we have an extraordinary number of unbelievably talented people who in my business experience are the hardest working people I’ve ever met and so irrespective of what the outcome is on the Chrysler account, I fully expect those people to be employed in the auto sector as we get into 2010. So we are honoring the contract and we will see what the outcome is and hopefully there aren’t any significant changes but if -- but no matter what happens, those people are among the best that are within this company.
Randall J. Weisenburger: And our auto revenues really are down across the globe -- I mean, I am sure there’s a few isolated markets that are less than others but generally it’s down around 30% globally.
Alexia Quadrani - JPMorgan: And if you look into the fourth quarter, can you give us any sense of what we might be thinking of in terms of a severance number for Q4? I assume it will trail down a little bit from what we’ve been seeing but just to reconfirm that.
Randall J. Weisenburger: I think it will probably -- it will certainly be less than last year but our -- I think we have tried to give some indication that we think we are going to be able to hold margins for the year, certainly inside of 100 basis points. We’ve done that each of the three quarters to date. I am very confident that we will be able to do it again in the fourth quarter. While severance is down, there will be other charges that will probably be up a little bit.
Alexia Quadrani - JPMorgan: With severance, do you think it will be less than what we saw in Q3?
John D. Wren: Well, we are focused more on delivering on the margin and accomplishing our other things. If it turns out that there’s a change in the business from what we see right this second, we would take severance actions as soon as we had the information. So right now, we don’t expect it to be too great a burden but --
Randall J. Weisenburger: It’s certainly going to be less than last year and is it going to be less than the third quarter? You know, likely but I don’t think it will be a lot less.
Alexia Quadrani - JPMorgan: And just last question, if you can just touch on briefly your decision to form Omnicom Digital, what was behind that thinking? And I guess how does that position you right now?
John D. Wren: We have increasingly focused and have a -- you know, we’ve always had a pretty robust portfolio of digital assets and there’s been a significant change in the digital capabilities of all of our advertising agencies. I thought it was important to designate Jonathan Nelson who has worked with those companies for a long time and to highlight digital so we could renew our activities both in training, developing, and changing up staff in our existing companies but also expanding some of the specialty services that we can offer there. I wanted somebody to focus on it directly.
Alexia Quadrani - JPMorgan: All right. Thank you.
Operator: Your next question comes from the line of Jason Helfstein with Oppenheimer.
Jason Helfstein - Oppenheimer: Thanks. So we’ve seen increased enthusiasm from the broadcasters and cable network operators in probably about the past six weeks -- can you contrast that with your discussions with some of your larger clients? And then secondly, Randy, what are your plans as you are thinking about the revolver and kind of how you expect that to fit into your view of your capital structure in the new world? Thanks.
Randall J. Weisenburger: I’ll focus on the second one and I’ll let John focus on the first -- the revolver is easy. It’s -- our revolver right now runs until June of 2011, so we have quite a bit of time to think about it. You know, the bank markets have changed dramatically from two years ago to six months ago to now. Where they are going to be six to nine months from now when we start thinking about putting a new revolver in place will likely be quite a bit different. We’ve also changed the -- our capital structure quite significantly. A large piece of the revolver was in place really as the back-up facility to our convertible notes. We really kind of viewed it as about $2 billion of the revolver was the debt and we funded it through the converts. Those converts are down to I think about $750 million now and will likely be less than that when we go to replace the revolver. So the need for a $2.5 billion revolver really isn’t there. So maybe that will get pared back to $1.5 billion or $2 billion but we will obviously have to look and see what the market is like at the time.
John D. Wren: And I’d have to say we’re not engaged in any robust conversations with the cable operators. Most client conversations about spending are strategic and increasingly the theme is where do we spend money, in what areas in digital and other things can we expand into, so we are not a participant in what you are suggesting, to the level that I think you suggested it.
Jason Helfstein - Oppenheimer: Okay, thanks.
Operator: Your next question comes from the line of William Bird with Bank of America Merrill Lynch.
William Bird - Bank of America Merrill Lynch: John, I was wondering if you could just talk about just the overall business and what is the biggest change you saw in the business from Q2 to Q3?
John D. Wren: I think the Q3, there hasn’t been significant changes. I think we are steadily seeing stabilization. In the beginning of the year, there was significant reductions in budgets and then there were a great deal of conversations about the reductions and scope of work that we needed in order to satisfy the clients. That was the first quarter. That started to stabilize. In the second quarter, it continued to stabilize through the third quarter. The area of growth which shows the greatest or the fastest recovery is in Asia and the developing markets that Randy mentioned in his comments. Other than that, nothing dramatic happened during the quarter.
William Bird - Bank of America Merrill Lynch: And is there anything you can point to that you might characterize as green chutes in your business? And maybe you can talk about kind of what some of your clients are doing who are really like the leaders in their respective categories?
John D. Wren: I’m not fond of the word green chutes. I think the characterization of the marketplaces that we gave regionally reflect where we are encouraged and where we remain cautious. I can't point out anything significant that will affect the outcome of Omnicom, which stands out individually beyond that. In terms of specific clients, we have a number of clients who are leaders in their sector who are reporting as we speak improved results and that we are under -- in conversations with them about how do they capitalize on that market share gain or the innovation that they are demonstrating in the marketplace. I’m not comfortable talking about individual clients, Bill.
William Bird - Bank of America Merrill Lynch: Sure, understood. And I might have missed it, but Randy, did you give a net new business number?
Randall J. Weisenburger: I didn’t but it was just under $1 billion for the quarter.
William Bird - Bank of America Merrill Lynch: Thank you.
Operator: Your next question comes from the line of James Dix with Wedbush.
James Dix - Wedbush: Just a couple of questions -- on the top line, I’m just trying to get a sense of how much you are going to finish out the year on a truly stronger organic growth note as opposed to just easier comparisons versus what was going on last year. I know some of that is unclear because of the late breaking project work that you get as you reference but anymore color on that would be useful. And I guess I’ll just stop there and I’ll wait for that and ask another one.
Randall J. Weisenburger: I think in general we said the business looks stable. We are going to cycle on a little bit easier comp, so last year in the fourth quarter, we were down a couple of percent. In taking our comments, you know, we thought the second quarter was the bottom, the business was down basically 10.8%. We thought Q3 was going to look a lot like Q2. It turned out to be that way. When we looked year over year, Q2 and Q3 last year were sort of pre the Lehman failure, so by -- if sequentially if Q4 is like Q3, it should improve a little bit because of the decline started last year in Q4. I don’t necessarily at this point see a lot of sequential improvement in Q4. We are seeing spots of improvement -- you know, many of those coming in the United States and as John pointed out, some of the emerging markets like Asia and Latin America. We are also seeing some other negative exceptions that I mentioned across both eastern and western Europe. So I think that probably means most of the improvement in Q4 will be because of a little easier comp from last year.
John D. Wren: And if I could just add one element of caution to that -- a lot of the reductions that we had in the scope of work and some of the fees that -- fee discussions didn’t occur until the beginning part of the year. The way that our business is structured, those tend to be annual events, so we are still going to face one or two more quarters where the impact of those prior discussions will be fully cycling through the business. So we are not quite through it yet.
Randall J. Weisenburger: Yeah, I don’t think that will actually -- that full cycling based on what I was just describing, you know, we hit the bottom in Q2 so I don’t think that really cycles fully until Q2 of next year.
James Dix - Wedbush: Okay, but that’s somewhat similar to what you were expecting a quarter ago I think, right?
Randall J. Weisenburger: Exactly what we were expecting a quarter ago.
James Dix - Wedbush: Okay, so no real change there. Okay, on the cost side, just given some of the lag that you pointed out, Randy, on the adjusted real estate expense, any sense as to when you think you can actually start seeing margins which are at least flat year over year? Is that kind of wait until the second quarter of next year or does that -- I’m just trying to get a sense of how much of that drag is --
Randall J. Weisenburger: I think we probably cycle on that around Q1 of next year.
James Dix - Wedbush: Okay, so you could actually start seeing at least margins the same year over year?
Randall J. Weisenburger: Yeah, I would think that’s right.
James Dix - Wedbush: Okay and my last one just relates to the acquisitions -- John, you mentioned the acquisition opportunities. Any particular areas, disciplines, regions of particular interest or focus?
John D. Wren: Well, we are opportunistic, so always keep that in mind. Having said that, a major focus is really the Middle East, developing markets, China, India, and sensible digital extensions of our portfolio, sensibly priced digital extensions of our portfolio. Those are our major focuses at the moment.
James Dix - Wedbush: Okay. All right, thanks very much.
Operator: Your next question comes from the line of Craig Huber, a private investor.
Craig Huber - Private Investor: Just a few questions -- I’ll start with the costs. What is your full time equivalent employees at right now? You ended last year about 68,000. And then what is your sort of -- are you at a good spot right now with the number of employees? You mentioned severance down a little bit perhaps in fourth quarter versus third, or do you think you have to right-size a little bit further?
Randall J. Weisenburger: Well, the headcount right now is about 63,000. The headcount gets adjusted based upon scope of work and some of the numbers can move around, depending upon where the work is at. Your headcount to revenue in some of the emerging markets is I would say a higher headcount per revenue or less revenue per headcount in some of those markets. Also in some of our field and event businesses, the revenue per headcount is on the lower side, so that headcount number is not a perfect calculation for I think what you are trying to do. We’ll continue to adjust headcount as needed agency by agency based upon their client revenues. We are going through those efforts right now, fine-tuning I’ll say the fourth quarter and going forward based upon individual agency changes. We also have other agencies that are winning business that will likely be expanding their headcount.
Craig Huber - Private Investor: And then also a housekeeping question -- Randy, do you have handy your salary and service costs number in the quarter versus the office and general line? Or do we have to wait until the 10Q comes out?
Randall J. Weisenburger: I think we can give you certainly a draft number at this point -- just give me one second. Again, don’t hold me to this as a final number but I think we are dealing with about $2.05 billion for salary and service and office and general around $493 million.
Craig Huber - Private Investor: Okay, and then you mentioned auto is down about I think 33% in the quarter. What percent of your revenue is that right now? And my other question would be the other three or four large industry sectors, how much were they down in the quarter?
Randall J. Weisenburger: Let me do one caveat -- so we are basing these numbers -- we capture revenue pretty well for our top thousand clients to sort them by industry group, et cetera. So based upon -- all of these statistics are based on our top thousand. You can imagine that I think virtually every auto client is going to be in that top thousand as we get into some of the other sectors, you know, some clients might be in the lower part so it may move the numbers a little bit. In the top thousand, auto is about 10.9% of our revenue. Some of the other categories, as I mentioned, a large category is healthcare. That was actually positive organic growth in the quarter. I don’t know -- telecommunications was down in the 15% range. Financial services was down 15% to 16% range. Food and beverage and consumer products were in the 5% or 6% range, so there was quite a variance. And those numbers -- the other thing to keep in mind in these numbers, while this is organic growth, it takes into consideration new business wins and client losses, so it’s not just how are these industries doing or how are their spending levels doing -- it takes into consideration a lot of different things, so it’s really our performance in these sectors, which is both the client spending as well as new business wins and losses.
Craig Huber - Private Investor: And then lastly, if I could, was there much difference by month for the organic revenue fall-off in the quarter versus the 10.7% for the whole quarter? And also, how is October tracking, if you have a sense?
Randall J. Weisenburger: I don’t have any numbers for October and throughout the quarter, it pretty much tracked month to month pretty regular, pretty steady.
Craig Huber - Private Investor: Great. Thank you.
Operator: Your next question comes from the line of Benjamin Swinburne with Morgan Stanley.
Benjamin Swinburne - Morgan Stanley :  Going back to your comment about conversations with top clients and thinking strategically about the next quarter and maybe the next year or so, are there -- I’m sure it varies by category but are there particular macro indicators that management teams are focused on that will make them feel more comfortable about being aggressive with spending again? I’m thinking unemployment maybe is one that would be particularly important to them. And then, you had mentioned in your opening remarks that the U.S. market had stabilized and you had seen some pockets of growth. I know healthcare was up but was there anything else in the domestic market you would highlight as showing some signs of life?
John D. Wren: I was referring to healthcare when I made that comment. There’s a lot of stabilization going on in the -- except for the sectors that we mentioned. It would be hard to -- I don’t have the data right in front of me so I don’t know if you do.
Randall J. Weisenburger: Well, on some of the sectors -- I mean, obviously in dealing with or seeing some of our larger clients, some of them seem like they are more aggressively spending. What is behind that, I’m certainly not 100% privy to. I’m watching their earnings releases as well. Some of those companies seem to be performing pretty well, both on a revenue and a profit line. As John mentioned, we don’t really like to mention client names specifically. A lot of you know certainly who some of our top clients are and some of them have reported earnings recently that are -- have been very strong. Other sectors -- you know, as sectors, even the financial services sector seemed like their earnings are coming out stronger than a lot of people had expected.
John D. Wren: I would only add to the earlier point of your question -- unemployment and the level of unemployment and the health of the consumer remains a concern to every client that I have a conversation with and that will I believe continue until we start to see a change in employment.
Randall J. Weisenburger: And you had mentioned acquisitions. I was wondering, you sold an agency earlier this year -- if there was anything else within your portfolio -- maybe discipline or even if you want to be more vague about it, are you looking at any portfolio restructuring beyond just going out and looking for digital extensions in developing markets? Any businesses within Omnicom today that may not be “strategic” as you look forward?
Randall J. Weisenburger: To a small extent, the answer is always. There’s -- you know, we do small dispositions periodically. They don’t generally move the needle significantly. They are certainly not as big from a revenue standpoint as the directory business that we sold. But periodically, either the management of the agency or for whatever strategic reason, we bought the agency, you know, there’s not a fit and we’ll dispose of it. But those are fairly rare.
Randall J. Weisenburger: Thank you very much.
Operator: Your next question comes from the line of Peter Stabler with Credit Suisse.
Randall J. Weisenburger: I think this will be our last question as well, as we are moving on here.
Operator: All right, very good. And Mr. Stabler, your line is open.
Peter Stabler - Credit Suisse: I have a question about the fee negotiation cycle. We understand that through the downturn, some clients elected to shorten the cycle, citing their own poor visibility into their operating results. I’m wondering if you feel you are going to see a snap back on that, that those clients will be more comfortable committing to annual contracts and consequently whether your visibility might improve going forward? And then secondly, just quickly, if you could comment on new business from a geographical perspective, is Europe, U.K., performing in line with the U.S. and the other regions? Thanks very much.
John D. Wren: Sure. Most of the changes in fee were accompanied by a reduction in scope of services that we were performing for clients. There’s no wholesale answer to your question. Each particular client and their needs and the way they are approaching the marketplace is different. So from a macro point of view, I believe that most of those conversations occurred much earlier this year and they are no longer the topic of conversation with our significant clients. I fully expect as things improve the scope of services that we perform will again start to expand but I don’t have any general answer to your question. It’s going to be client by client, market by market. In terms of new business, we are performing well virtually everywhere. Europe, the U.K., Europe has been very strong throughout the first nine months of this year and there’s a number of new business opportunities which are currently being pitched which I am very hopeful that we become the winner of. So new business and when there is new business opportunities, we generally perform very, very well.
Randall J. Weisenburger: As far as overall revenue performance, part of the reason we’ve broken out some of these -- I’ll say specialty areas or some of these areas that got impacted a little bit more significantly than others, many of them are concentrated for us in the United States, like our recruitment business is predominantly a domestic business. Those businesses were hurt much more significantly. Our events business for us is heavily weighted to the United States. We back those things out of the United States and we compare the similar businesses in Europe, the U.S. is performing or has performed in the last quarter better than Europe. As we mentioned, the Asian markets and some of the developing markets are certainly outperforming all of them but western and most of eastern Europe versus the United States, like-for-like business, the U.S. is performing better.
Peter Stabler - Credit Suisse: And could you comment quickly on whether the traditional advertising segment was punished more by those segments you called out, particularly auto, then CRM?
John D. Wren: No, I mean, if you go through those four segments pretty quickly, auto, a significant component part was what we’d call general media advertising. There was a large CRM component to those reductions as well. Recruitment advertising is a specialty business, so it stands by itself. Sports and event marketing falls in CRM, not advertising, and I’ve now forgotten the fourth one. That’s not a good sign.
Peter Stabler - Credit Suisse: PR.
John D. Wren: PR is a standalone, again not general advertising, a specialty practice.
Randall J. Weisenburger: Today, an awful lot of our digital business is being done in the I’ll say traditional category, so our -- it’s one of the -- I don’t want to say flaws in our system. We believe digital is really a medium and all of our agencies need to have a digital component. Our traditional agencies now have a significant piece of their revenue is so-called digital and that is stable to growing. Overall, our traditional business has performed above average in the group, so their organic growth rates or organic growth declines are less than our average decline, or the Omnicom number combined.
Peter Stabler - Credit Suisse: Thanks very much.
Operator: Did you wish to conclude then the question-and-answer session?
Randall J. Weisenburger: Yes, I think that will be it. Thank you all very much.
Operator: Thank you. And ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and for using AT&T’s executive teleconference. You may now disconnect.